Operator: Welcome to the Oxford Lane Capital Corp Fourth Fiscal Quarter 2016 Earnings Conference Call. [Operator Instructions]. I would now like to turn the conference over to Jonathan Cohen, Chief Executive Officer. Please go ahead, sir.
Jonathan Cohen: Thanks very much. Good morning and welcome everyone to the Oxford Lane Capital Corp. fourth quarter fiscal 2016 earnings conference call. I'm joined today by Saul Rosenthal our President and Bruce Rubin our Chief Financial Officer and Treasurer. Bruce, could you open the call today, with the discussion regarding forward-looking statements?
Bruce Rubin: Sure, Jonathan. Today's call is being recorded. An audio replay of the call will be available for 30 days. Replay information is included in our press release that was released earlier this morning. Please note that this call is the property of Oxford Lane Capital Corp. Any unauthorized rebroadcast of this call in any form is strictly prohibited. I'd also like to call your attention to the customary disclosure in our press release this morning regarding forward-looking information. Today's conference call includes forward-looking statements and projections and we ask that you refer to our most recent filings at the SEC for important factors that can cause actual results to differ materially from these projections. We do not undertake to update our forward-looking statements, unless required to do so by law. To obtain copies of our latest SEC filings please visit our website at www.oxlc.com. With that I'll turn the presentation back to Jonathan.
Jonathan Cohen: Thanks, Bruce. For the quarter ended March 31, 2016 Oxford Lane Capital Corp recorded GAAP total investment income of approximately $13.7 million representing a decrease of approximately $2.3 million when compared to the quarter ended December 31, 2015, that decrease in GAAP investment income for the quarter was partially driven by a lower effectively yield on our CLO equity investments and by the retention of a greater cash position throughout the quarter ended March 31, 2016. The March quarter's GAAP income from our portfolio was produced as follows, approximately $13.1 million from our CLO equity investments and approximately $600,000 from our CLO debt investments and from all other income. Oxford Lane also recorded GAAP net investment income of approximately $6.6 million or $0.36 per common share for the quarter ended March 31, 2016 compared with the prior quarters $8.2 million or $0.46 per share. As of March 31, 2016 the following weighted average yields were calculated. The weighted average GAAP yield of our CLO debt investments at current cost was approximately 9.0% which also stood at 9.0% as of December 31, 2015. The weighted average GAAP effective yield of our CLO equity investments at current cost was approximately 14.3% compared with 15.4% as of December 31, 2015. The weighted average cash distribution yield of our cash income producing CLO equity investment at current cost was approximately 26.6% compared with 25.6% as of December 31, 2015. We know that the cash yield calculated on our CLO equity investments is based on the cash distributions we received or were entitled to receive at each respective period end and excludes those CLO equity investments which have not yet made their inaugural payments to us. Our core net investment income or core NII was approximately $13 million or $0.71 per share for the quarter ended March 31, 2016. Core NII represents GAAP net investment income adjusted for additional cash distributions received or entitled to be received if any in either case on our CLO equity investments. As previously announced the Funds Board of Directors declared a distribution of $0.60 per common share for the quarter ended June 30, 2016 payable on June 30, 2016 to stockholders of record as of June 16. Additionally the Board has declared the required monthly dividends of approximately $0.16 and $0.17 per share respectively on our series 2023 and 2024 term preferred shares each payable on June 30, July 29, and August 31 to holders of record on June 16, July 15, and August 16 respectively. The fund also recorded net realized losses of approximately $20.6 million or $1.13 per share and net unrealized appreciation of approximately $4.6 million or $0.25 per share for the quarter ended March 31. As a result of those net realized and unrealized losses we had a net decrease in net assets resulting from operations of approximately $9.4 million or $0.52 per share for the quarter. We know that each of our CLO equity positions held during the quarter paid full equity distributions to us and that no equity payment was diverted during the quarter. As of March 31, 2016 the funds asset coverage ratio stood at approximately 191% based on outstanding preferred stock for approximately $141.2 million, gross assets of approximately $272.5 million and non-debt liabilities of approximately $3.6 million. As of March 31, 2016 the fund held cash and cash equivalents of approximately $20.4 million and distributions receivable of approximately $6.9 million. At March 31, 2016 our net asset value per share stood at $7.04 compared with a net asset value at December 31, 2015 of $8.13 per share. During the quarter ended March 31, 2016 we made an additional CLO equity investment of approximately $480,000. Also during that same quarter we recognized portfolio exits of approximately $34.9 million from sales of our investments, portfolio exists consisted of sales of CLO equity investments. During the quarter ended March 31, price declines persisted in the corporate syndicated loan market in January and February with the S&P/LSTA leverage loan index reaching a low point of 89.25 [ph] on February 24, 2016 compared with 91.26 as of December 31, 2015. Significant weakness in the equity and broader markets coupled with the continued decline in commodity prices caused CLOs to experience significant mark to market declines through January and February especially in-light of lower liquidity available during that time period. However at the end of February strength in the broader markets, a rebound in commodity prices and several CLOs pricing in the primary market drove an increase in prices in the syndicated loan market through March and the S&P/LSTA leverage loan index stood at 91.51% on March 31, 2016. Correspondingly, we saw an improvement in CLO equity index [ph] prices from the lows in February through March as well as into April as loan prices continue to appreciate and liquidity improved. As of 5/17/2016 the S&P/LSTA leverage loan index stood at 93.08. According to S&P the trailing 12 month leverage loan default rate by number of loans at the end of March 2016 rose to 2.0% from 1.6% at the end of February 2016. While the CLO equity market rebounded from the lows in February, the increase in actual defaults increased in ratings downgrades and decrease in OC cushions [ph] resulting from managers realizing losses on underlying loans resulted in certain CLO equity tranches trading at lower levels due to the increased potential for interest aversion over the coming quarters in our estimation. We believe that the CLO market continues to present us with a compelling investment opportunity set especially as we see broader dispersion and underlying portfolio quality and pricing. Since we began investing in a CLO market we are focused on both the primary and secondary markets and varied our emphasis according to which offered better relative value at various times. We continue to deploy our CLO investment strategy where we see opportunities to generate attractive current cash flows and/or the potential for capital appreciation. While we continue to generally focus on longer dated CLO equity with longer reinvestment period that will have additional time to build par values and investor and wider credit spreads compared to today's corporate loan environment, we continue to evaluate a variety of different CLO equity and debt profile that we believe may provide us with attractive risk adjusted returns. We know that additional information about our fourth fiscal quarter performance has been posted to our website at wwww.oxlc.com. With that operator we would like to open the line for any questions.
Operator: [Operator Instructions]. Our first question comes from Mickey Schleien of Ladenburg Thalmann. Please go ahead.
Mickey Schleien: My first question is since March 31 the more liquid leverage loan markets have continued to rally as I think you mentioned in the neighborhood of 2% maybe a little bit more given that the average CLO is levered somewhere around nine times that would imply that CLO equity prices on average are probably up 15% - 20% since March 31. Am I thinking about that correctly? Is that what you’re seeing in the market today?
Jonathan Cohen: I would say part of that was probably correct Mickey. We’ve certainly seen a meaningful increase in leverage loan prices since the end of the quarter towards the end of the quarter and since the end of the quarter and much of that strength seems to have translated into meaningfully higher prices for CLO equity and debt tranches. I would caution however against the assumption of a perfect correlation between CLO NAVs and CLO prices in the secondary market that relationship is not a perfect relationship. It can vary in a variety of ways.
Mickey Schleien: Could you give us at least a range of where you think perhaps on average CLO equity prices are today versus March 31? Is it somewhere perhaps between 10% and 20%.
Jonathan Cohen: I would estimate Mickey that secondary CLO equity pricing since the end of the quarter is probably up in the order of 10% to 15%.
Mickey Schleien: Okay. So then presumably everything else from an equal you would then be -- your asset coverage test would be meeting the regulatory requirements if that were the case correct?
Jonathan Cohen: It's a calculation Mickey that has a fair amount of complexity to it but certainly asset coverage is helped by virtue of asset prices increasing and asset prices for the market overall have increased since quarter end again without making any comment or projection as to what our portfolio values have done since quarter end.
Mickey Schleien: Couple more questions, Jonathan, the cash yield on the portfolio actually increased 80 basis points from the fourth calendar quarter to the first calendar quarter but your core and I declined pretty meaningfully from $0.96 to $0.71. I know you mentioned in your prepared remarks that you were holding cash but that wouldn't seem to account for that entire discrepancy. Can you walk us through what would happen given that we haven't seen the financials yet?
Jonathan Cohen: Sure Mickey, part of that calculation is cost basis reduction as we recognize income received or cash received in excess of the effective yield calculation as a diminishment in the cost basis as of now and part of it with respect or I would say the bulk of it with respect to the lower core NII this quarter was a result of the combination of holding a larger cash balance combined with a change and ongoing change in our effective yield analysis consistent with a weaker leverage loan market that resulted in a lower effective yield calculation.
Mickey Schleien: Okay. My last question Jonathan, yesterday we heard that the Fed seems you know on track to raise rates again next month. You know despite these general sort of weakness outside of the United States and that would presumably continue to squeeze cash flows more for CLO equity given the LIBOR floors. How are you positioning Oxford Lane's portfolio to take this possibility into account?
Jonathan Cohen: Well one of the things Mickey, we've done on an ongoing basis which we intend to continue to do is to lengthen to the greatest extent possible and practical and desirable the amount of time we have on a weighted average basis within the reinvestment period of our of our investment portfolio. So holding longer dated CLO equity with greater reinvestment period inside of it gives us some opportunity anyways to take advantage of a rising rate environment to the extent it's coupled by a widening spread environment.
Mickey Schleien: So if I'm not mistaken I was looking at the presentation, there are still a number of CLOs in the portfolio that are beyond the reinvestment period, correct?
Jonathan Cohen: No. We currently hold no CLO equity tranches that have exited their reinvestment period.
Mickey Schleien: Okay. I'm sorry. I was thinking about the callable period. Fair enough, that answers my question. That’s all I’ve for today. Thank you for your time.
Jonathan Cohen: Thank you, Mickey, very much indeed. Operator, any further questions?
Operator: None at this time, sir.
Jonathan Cohen: All right. Well I would like to thank everybody for their participation and their interest in Oxford Lane and we look forward to talking to you again in the future. Thanks very much.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect. Have a great day.